Operator: Greetings, and welcome to Inspirato's First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management's prepared remarks. It is now my pleasure to introduce your host, Bita Milanian, Senior Vice President of Marketing. Bita, you may begin.
Bita Milanian: Thank you, Operator, and hello, everyone. Welcome to Inspirato's first quarter 2025 earnings conference call. I'm Bita Milanian, Senior Vice President of Marketing at Inspirato. Joining me today are Payam Zamani, our Chairman and Chief Executive Officer; and Michael Arthur, our Chief Financial Officer. Before we begin, please note that today's call is being webcast live, and will also be archived on the Investor Relations section of our website at inspirato.com. You can also find our earnings press release and the supplemental materials currently available there for your reference. As a reminder, some of today's comments are forward-looking statements. These statements are based on assumptions, and actual results could differ materially. For a discussion of these risks and uncertainties, please refer to our filings with the SEC, including our most recent annual report on Form 10-K and our subsequent first quarter report on Form 10-Q. In addition, during the call, management will discuss non-GAAP measures which are useful in evaluating the company's operating performance. These measures should not be considered in isolation, or as a substitute for our financial results prepared in accordance with GAAP. Reconciliations of these measures to the most directly comparable GAAP measures are included in our earnings release. With that, I'd like to turn the call over to Inspraud's Chairman and CEO, Payam Zamani. Payam?
Payam Zamani: Thank you, Bita, and hello, everyone. Yesterday afternoon, we issued a press release announcing our financial and operational results for the first quarter. I encourage all listeners to review the press release, which has been posted to our Investor Relations website, as it contains information relevant to today's call. Before I give a recap of the quarter, I would like to briefly introduce Inspirato to those who may be new to our story. Inspirato is a premier luxury vacation club and property technology company, offering access to curated portfolio of high-end homes, hotels, and exclusive experiences around the world. With over 340 luxury homes and many high-end hotel partnerships in over 170 destinations, our mission is to deliver unmatched service, seamless travel planning, and one-of-a-kind luxury travel that creates lasting memories. We serve over 11,000 members in delivering that mission every day. And today, we're doing that while continuing to transform the business by fine-tuning our cost base, and investing in a robust digital marketing and technology platform to build a more scalable, durable, and efficient growth model for the future. Now, let's get into the updates. Q1 was a foundational quarter for Inspirato, One that reflects the impact of our ongoing strategic focus and positions us for profitable growth as a leader in luxury travel. This is an exciting moment for Inspirato. In my view, the first quarter marks the most important period for our business since becoming a public company. And while the numbers matter, it is the transformation behind those numbers that will truly set the stage for what's ahead. In Q1, we delivered the strongest adjusted EBITDA performance in our history, which we believe, signals that our strategic shift toward operational discipline is working. We've laid the groundwork for sustainable profitability by focusing on what we can control, while also strategically investing in the key areas that will define our future growth. This isn't about short-term wins. It's about building a smarter, more focused, and more powerful Inspirato. One that's ready to scale with efficiency, serve with unmatched quality, and over the years to come, expanding to a much larger opportunity. On our last call, I discussed several key pillars that will provide the foundation for our future business, and why I believe they position us to define and lead the future of luxury travel and experiences. As a reminder, these pillars are, one, operational efficiency; two, brand elevation; three, member experience; and four, a robust technology and digital marketing platform. First, we're focused on driving operational efficiency to strengthen our financial infrastructure and drive operating leverage as we grow. The most immediate proof point has been in our bottom line, delivering record adjusted EBITDA in Q1, provides a good early indication that the steps we've taken to streamline operations, reduce fixed commitments and improve cost discipline are working. We've done all that while we have also invested in elevating the quality of our services for our travelers, but we're far from done. We see a clear path to drive gross margin expansion, particularly by optimizing our non-lease cost of revenue expense line items. This is where discipline meets opportunity. And we're approaching it with a long- term mindset. Every process, every cost center, every touch point is under review to make supports our long-term goals, and contributes the value we deliver our travelers. Operational excellence is not a one-time project. It's a core competency we're building into the DNA of the company. Second, we're evolving Inspirato into a truly aspirational luxury brand, one that not only delivers exceptional experiences, but inspires a level of desire, loyalty, and pride. In Q1, we laid the groundwork for more elevated brand ethos. One rooted in luxury, consistency, and frequency of presence. We're reintroducing ourselves to the world with more dynamic and consistent marketing campaigns that tell the Inspirato story with clarity and confidence. It's not just about being known. It's about being synonymous with luxury travel and experiences. The kind of brand that turns heads, builds trust, and stays top of mind when travelers are ready to explore. Third, we're doubling down on member experience. We're focused on elevating our service and experiences to be more consistent, curated, and unique, all through the lens of providing truly one-of-a-kind luxury experiences. Everything we do starts with our members. How we surprise and delight? How we earn loyalty? And how we become indispensable to the most important moments? We're working to ensure every interaction feels intentional, elevated and deeply personal from pre trip planning to a dedicated care team who understands each family's unique preferences, and up to the moment that a member walks into one of our homes. We're building on an industry leading Net Promoter Score of over 70 in 2024, a testament to the trust and satisfaction we've already earned. And we're not stopping there. We've launched new initiatives to standardize service quality across all member touch points, including enhanced concierge training and a fresh set of service standards rolling out later this year. We're also curating our property and experiences portfolio with more rigor, ensuring that every home destination offering meets the elevated standards of quality, style, and ambiance our members expect. At the same time, we're enhancing the unique value proposition of being a member, not just through aspirational travel, but with exclusive perks and benefits that deepen loyalty and reward long-term engagement with our brand. For instance, a recent partnership with Sixth, Sixth car rental company provides members with more than just premium car rentals. It offers elevated membership status while receiving preferred pricing, ensuring seamless luxury from arrival to departure. Additionally, we've renewed strategic partnerships with renowned hotels like, Hondas and Fairmont, granting our members exclusive access to select accommodations at these esteemed resorts. While we do not expect these partnerships to have a material impact on revenue or profitability in the near term, these collaborations underscore commitment to delivering unparalleled service and exclusive benefits that resonate with our members and their discerning tastes. And lastly, we're building a robust technology and digital marketing platform that will unlock massive new potential for Inspirato. We started in Q1 with foundational tech investments and before the end of the year, we'll begin to roll out what will ultimately become a world class platform, one that allows us to reach target and convert high value travelers at scale. This is where my background and passion comes into play. Over the course of my career, I've built multiple marketplaces that connect people to trust value and technology, all at the intersection of brand building, digital performance based marketing and platform design. I've seen firsthand how powerful a well crafted digital engine can be when it connects supply and demand at scale. And it's fueled by compelling brand. By combining the strength of our luxury brand with a data driven digital platform, we're not just going to market more efficiently, we're going to expand our total addressable market, reaching qualified audiences that previously had encountered in Inspirato. This isn't just a growth tactic; it's a top line energizer and a profitability driver that positions us to scale intelligently and sustainably for years to come. In closing, Q1 marks the beginning of the next chapter for Inspirato. We're not just improving, they're transforming. The discipline is in place. Our vision is clear and the energy across the team is evident. We're building a platform that is efficient at its core, aspirational in its brand, elevated in service and engineered to scale through digital reach and innovation. I want to thank our team for their relentless focus and our members for their trust and loyalty. I believe we're at the start of something extraordinary and I can't wait to share more progress with you in the quarters ahead. With that, I'll turn it over to Michael to discuss our financial performance and outlook for the remainder of the year. Mike?
Michael Arthur: Thank you, Payam. As Payam outlined, Q1 was a strong validation of the operational improvements we made and the strategic focus we've displayed over the past several quarters. We delivered record quarterly adjusted EBITDA of $5.6 million, a significant milestone that reflects our commitment to driving operational efficiency and cost disciplines across the business. This performance is particularly encouraging given the expected near term softening in revenue and demonstrates the strength of the changes we've made to build a more resilient, scalable model. EBITDA improvement was driven by continued optimization of cost of revenue and operating expenses. Cost of revenue declined by $8 million year-over-year, largely due to our ongoing portfolio optimization efforts and reduction in controlled accommodations. Operating expenses were also meaningfully lower, down approximately $8 million, benefiting from reduced overhead and continued focus on streamlining operations across the organization. Total revenue for the quarter was approximately $66 million, down 18% year-over-year. Subscription revenue was $21 million, down 26%, primarily due to the expected and planned decline of Pass subscriptions. At the end of Q1, we had over 11,000 members with approximately 10,200 active club members and 1,300 active Pass members, consistent with the strategic shift we outlined last year. While Pass remains an important part of our offering, we intentionally shifted our emphasis towards club growth and overall profitability. With Pass now representing approximately 10% to 15% of our total membership base, we believe we've reached a healthier long-term mix. We do expect revenue headwinds to persist throughout the remainder of the year as we continue to compare results to prior year periods of higher Pass volume. That said, we're excited about the future of pass. In the coming months, we'll be announcing enhancements to the product that we believe will make it more compelling for our members and better align with our long-term financial objectives. Travel revenue came in at $42 million, down 16%, reflecting a lower member count year-over-year as well as a $2 million timing impacts related to curated experiences, which are occurring in Q2 this year compared to Q1 in the prior year. In our controlled residence accommodations, we maintained a strong occupancy level of 74% while increasing ADR by 8% in the quarter to over $2,100 supporting the gross margin and profitability goals we set for the year. Q1 free cash flow was negative $8 million, including approximately $2.6 million of one-time cash outflows related to underperforming lease terminations. Excluding these nonrecurring items, underlying free cash flow burn was approximately $4.5 million. Importantly, Q1 was not an isolated result. Over the last two quarters, we have generated nearly $8 million of adjusted EBITDA, reflecting sustained improvement and real momentum as we continue to strengthen the foundation of the business. Additionally, adjusted free cash flow, excluding the one-time lease related items, totaled more than $8,000,000 over the same period. As we emphasized, our near term focus remains on driving operating leverage, improving gross margin and reducing variability in our cost base, and these efforts showed clear results. Moving to our outlook, we are reiterating our full-year 2025 guidance, which reflects continued progress we're making across the business. We expect adjusted EBITDA between breakeven and $5 million, marking a significant improvement from 2024 along with full-year revenue between $235 million and $255 million. We also expect operating expenses of between $80 million and $90 million, reflecting a 15% year-over-year reduction as we continue to streamline the business and focus on efficiency. Overall, the strategic decisions made over the past year are clearly translating to stronger financial results. We're operating with greater discipline across the organization, focusing our strategy and continuously improving how we serve our members. Constraints have fueled creativity, and we're executing with greater efficiency and impact. Looking ahead, our priorities for 2025 are clear, continue balancing investment for future profitable growth with operational efficiencies, elevating the Inspirato brand and enhancing the experience for our members. We are encouraged by the momentum we have built and confident in the trajectory we are setting for sustainable profitable growth in the years ahead. And with that, I'll turn it back to the Operator for Q&A.
Operator: Certainly. Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Mike Grondahl with Northland Capital Markets. Please go ahead.
Logan Hennen: Hey, this is Logan on for Mike. Thanks for taking our question. First, can you guys give us an update of what's being done on the marketing side to drive and retain members? Thank you.
Payam Zamani: Hi, [Mike] (sic). This is Payam, and I'll take this. And Michael, please feel free to add. So, way that we go about selling and adding to our member base is to our sales force. And we have a sales force that we've been growing over the, since the beginning of the year. And the sales force basically reaches out to a target audience that we have built and curated over many years. So, they rely less on, in a sense, direct marketing, and rather on direct connections with people, or within that database, and having said that, as I have mentioned, that we are building a robust technology platform that we think that once it's operational, it will scale our access to luxury travelers out there. And as that happens, we do think that there will be a lot more incoming interest from those who would be interested in our offering.
Logan Hennen: Got it. Thank you. Then so right now, club memberships are down to 10,200 from 10,900 year-over-year. When and where do you see club memberships bottoming at? Thank you.
Payam Zamani: Michael, do you want to take that?
Michael Arthur: Yes. Thanks for the question. Look, Q1, think we as we've I think mentioned back in the prior earnings call, we suspect that we'll continue to experience headwinds on member count through the first-half of this year and expect a stabilization second-half and going into 2026. Q1 of 2025 was a deceleration relative to quarter over quarter relative to all of last year. So, we are seeing continued improvement in our member count from a quarter over quarter perspective in terms of growth or decrease. But as I mentioned, I think as we approach in the second-half of '25 and going into '26, we expect a more stabilized member base that will certainly be growing off of. And as we mentioned, like, some of this is controlled and we're being more measured about marketing spend and acquisition growth. And it's not just about growing members in absolute, but acquiring and engaging with the right members, ones that align with the brands and engage with us in a healthy manner.
Logan Hennen: Perfect. Then one more, in terms of cutting expenses, what inning is Inspirato in? Is there much left to do there? Just any color there would be great.
Payam Zamani: Mike, can you please repeat that question?
Logan Hennen: In terms of cutting expenses, what inning is Inspirato in? Is there much left to do there with expenses?
Payam Zamani: Got it. I use a bad example usually when I refer to this, but I say that, when I arrived at Inspirato, cutting expenses was basically easy because it was a blunt instrument. There were significant areas that we could do -- take immediate measures and reduce expenses. But now it is a lot more about that visceral fat that we're dealing with, we are dealing with fine tuning, and at the same time, in many cases, improving the quality of the service as we're doing that. So, if you think about every touch point that we have, every property that we have, whether it is a property that we lease and it is as a result at risk, or it's a property that we have a relationship with and we do rev share. In all of those cases, there's a cost element and there's a margin element. And both of those elements, which if you look at the cost element, there are many cost elements. Like, you know, if it's an at-risk property, you've got landscaping, you've got pool cleaning, you've got you know, housekeeping, you've got laundry. Every one of those items are an opportunity for operational efficiency that we're seeking and we're after. But then on the revenue side of it, the margins that we have that are experienced as a result of the in place relationships and contracts, that they can also be negotiated to improve. So, as a result, that gap in between that represents our margin continues to widen. So, we are very focused on that. We actually recently just brought on board someone as our Chief Transformation Officer, who will be very focused on ensuring that we are becoming highly efficient. In fact, I would like to see that, by the time we get together at the January, I would like to declare victory that operational efficiency is a core competency, is a differentiator in this company. I know we can get there. We've made massive progress, but there are really significant opportunities ahead of us as we continue this work. I hope that answers your question, Mike.
Logan Hennen: Yes. That helps a lot. Okay. Then one last one from us, what are some of your goals/major milestones you're targeting for 2025?
Payam Zamani: Great question. Of course, as someone who arrived here less than a year ago, the thing I'm very focused on is to make sure that as a company, we achieve sustained profitability. That is really key. So, as a company, I want to make sure that we're in charge of our own destiny for a long-term. The second thing is, as I mentioned, I want to see operational efficiency as a core competency and as a differentiator in this company. But then I would say that when I think about the long-term DNA of this company and the growth potential of this company, I think it is strategically imperative for us to build and launch and scale basically a digital marketing platform that transforms this company to a truly prop tech company with basically, you know, 21st Century levers for growth that I think that a company that solely relies on members as a way of growing potentially will not have access to. So, I'm really excited about that, and that's something that we're working on, and I hope we'll get to launch at this initial phase of it before the end the year.
Logan Hennen: Got it. Thank you, guys. Congrats on the quarter.
Payam Zamani: Thank you, Mike. Really appreciate it.
Operator: Thank you. At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Zamani for his closing remarks.
Payam Zamani: All right. Well, thank you so much. I really appreciate everyone who has joined us today. And really I would like to thank all of our employees. They are really the foundation of this business, and they're the ones who have allowed us to transform this business. There's a lot more work ahead of us, but they've done an amazing job getting us to where we are now. And of course, I'd like to thank our partners and our shareholders, our members for all their support. Thank you so much, and looking forward to continuing this conversation as we close Q2.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.